Operator: Good day, ladies and gentlemen, and welcome to your Oxbridge Re Holdings Fourth Quarter 2019 Earnings Results Call. All lines have been placed in a listen-only mode, and the floor will be open for your questions following the presentation. [Operator Instructions] At this time, it is my pleasure to turn the floor over to Wrendon Timothy, Chief Financial officer. Sir, the floor is yours.
Wrendon Timothy: Thank you, Operator. During today's call, there will be forward-looking statements made regarding future events, including Oxbridge Re's future financial performance. These forward-looking statements are made pursuant to the Private Securities and Litigation Reform Act of 1995. Words such as anticipates, estimates, expects, intends, plans, projects, and other similar words and expressions are intended to signify forward-looking statements. Forward-looking statements are not guarantees of future results and conditions, but rather are subject to various risks and uncertainties. Some of these risks and uncertainties are identified in the company's filings with the SEC. The occurrence of any of these risks and uncertainties could [technical difficulty]…
Operator: This is the Operator. Is there anyone on the line?
Wrendon Timothy: The company undertakes no obligation to update any forward-looking statements contained on this call or in any company presentations even if the company's expectations or any related events, conditions or circumstances change. Now, I would like to turn the call over to our Chairman, President, and Chief Executive Officer, Jay Madhu. Jay?
Jay Madhu: Thank you, Wrendon, and welcome everyone. Thank you for joining us today. These are trying times with all those happenings to humanity. This year, while the COVID-19 or the coronavirus pandemic and its consequences are spreading throughout the world at an alarming rate, I would like to point out that there are no reinsurance implications for Oxbridge. Having said that, we urge people to stay home and stay safe. As we do each quarter, before we get to our results, I would like to take a moment to provide a brief overview of our company. Oxbridge Re Holdings Limited was founded over six years ago with the mission to provide reinsurance solutions primarily to property and casualty insurers in the Gulf Coast region of the United States. Through a licensed reinsurance subsidiary, Oxbridge Reinsurance Limited and our licensed Reinsurance Sidecar, Oxbridge Re NS, we write fully collateralized policies to cover property losses for specific catastrophes, and as some of you already know, because we are at fully collateralized contracts, we are able to compete effectively with larger carriers. We specialize in underwriting low frequency, high severity risks, where we believe sufficient data exists to effectively analyze the risk return profile of reinsurance contracts. Our objective is to achieve long-term growth and book value per share by writing business on a selective and opportunistic basis that we will generate attractive underwriting profits relative to risk. Regarding our investment portfolio, we remain opportunistic and will deploy our capital when favorable return opportunities arise, which we believe in turn drive our results to supplemental investment income. That being said, our focus on top priority remains our profitable underwriting. Looking at 2019, the net loss we experienced in 2018 was significantly reduced. We effectively broke even the last two quarters of the year, and at the year end, our key financial ratios have all strengthened compared to the end of 2018. Our book value stands at $1.40 per share, and our risk management underwriting focus allowed us to remain unaffected by the devastation caused by Hurricane Dorian and other global catastrophes. In addition, 2019 was the second year of operations for our wholly-owned subsidiary, Oxbridge Re NS, our Reinsurance Sidecar. While the contract year ends on May 31, 2020, our Sidecar investors are on track to earn an attractive return of approximately 40%. We look to grow that portion of our business again this upcoming season beginning June 1 of 2020. I'll now turn things over to Wrendon to take us through our financial results for the fourth quarter and year ended December 31, 2019. Wrendon?
Wrendon Timothy: Thank you, Jay. First, a point to note is our typical contract period is from June 1 to May 31 of the following year. With respect to net premiums earned, net premiums earned for the fourth quarter of 2019 reduced to $245,000 from $1.5 million in the fourth quarter of 2018. The decrease was fully due to significantly lower capital being deployed this year when compared to prior year when we experienced an acceleration of premium recognition due to limit losses on all four reinsurance contracts. Net premiums earned for the year ended 31 December 2019 reduced to $617,000 from $2.7 million last year. The decrease was primarily due to lower capital being deployed during the year compared to the prior year. Net investment and other income for the fourth quarter of 2019 stood at $40,000, $45,000 change in the fair value of equity securities. This compares with $86,000 of net investment income, offset by $48,000 change in fair value of equity securities and $18,000 of net realized investment losses for the fourth quarter of 2018. For the year ended December 31, 2019, net investment income totaled $230,000 plus $3,000 of net realized gains and $25,000 change in the fair value of equity securities. This compares with the $366,000 of net investment income offset by $26,000 of change in fair value of equity securities and $255,000 of net realized investment losses in 2018. Also during the quarter and year ended December 31, 2019, we recognized a gain of $106,000 on successful completion of two reinsurance contracts. This compares with a loss of $8,000 on completion during 2018. Total expenses for the fourth quarter of 2019, including loss and loss adjustment expenses plus the acquisition costs and underwriting expenses and general and administrative expenses were $282,000 compared with $10.5 million in the fourth quarter of 2018. The decrease in expenses was due to a decrease in policy acquisition costs and underwriting expenses as a result of decrease in net premiums earned during the quarter, as well as a decrease in general and admin expenses due to further cost savings initiatives implemented by the company when compared to the prior year's fourth quarter. For the year ended December 31 2019, total expenses were $1.1 million compared with $11.6 million in 2018. The decrease in total expenses was primarily due to no losses incurred in 2019 compared with limit losses incurred in our reinsurance portfolio in 2018, as well as cost savings initiatives that we implemented during the year. We generated a net income of $61,000 or $0.01 per basic and diluted share for the fourth quarter of 2019 compared with a net loss of $6.5 million, or a loss of $0.03 per share in the fourth quarter of 2018. The significant improvement in our net income was the result of no catastrophic losses experienced in the quarter compared with trigger limit losses on all reinsurance contracts in the fourth quarter of 2018. For the year ended December 31, 2019, net loss reduced significantly to only $305,000 with a loss of $0.05 per basic and diluted common share, compared with a net loss of $5.7 million or $1 per basic and diluted common share in 2018. Again, a significant improvement in our earnings in 2019 was due to no limit losses experienced during the year compared to losses experienced in 2018. Now, turning to our financial ratios for the quarter and year ended December 31, 2019. We used various measures to analyze the growth and profitability of all business operations for reinsurance business. We measure underwriting profitability by examining our loss ratio, acquisition expense ratio, underwriting expense ratio and combined ratio. Our loss ratio which measures on the right profitability is the ratio of loss and loss adjustment expenses include to net premiums earned. Our loss ratio for the fourth quarter of 2019 was 0% compared to 589% for the fourth quarter of 2018. As mentioned, we experienced significant limit losses in last year's fourth quarter. For the year ended December 31, 2019, the loss ratio was also 0% compared to loss ratio of 269% in 2018. The improvement is due to no losses or loss adjustment expenses in 2019. Our acquisition cost ratio which measures operational efficiency compared to policy acquisition costs and other underwriting expenses to net premiums earned, our acquisition cost ratio was 9.4% for the fourth quarter of 2019 compared with 11% last year. For the year ended December 31, 2019, the acquisition cost ratio was 10.4%, compared with 9.6% in 2018. The increase in acquisition cost ratios was due to overall higher weighted average acquisition costs on reinsurance contract in force in 2019 compared to the prior year. Our expense ratio, which measures operating performance compared to policy acquisition costs and general and administrative expenses with net premiums earned, the expense ratio, was 115.1% during the fourth quarter of 2019, compared with 27.3% for the fourth quarter of 2018. For the year ended December 31, 2019, the expense ratio was 183.3% compared with 41.5% for the year ended December 31, 2018. The increase in the expense ratio in 2019 was due primarily to lower net premiums earned and net income from derivative instruments during the quarter and year ended December 31, 2019 when compared with the same period a year-ago. Our combined ratio, which is used to measure underwriting performance is the sum of the loss ratio and the expense ratio. If the combined ratio is at over 100% underwriting is not profitable. The combined ratio totaled 115.1% for the fourth quarter of 2019 compared to 616.5% last year. For the year ended December 31, 2019, the combined ratio was 183.3% compared with 310% in 2018. The decrease in the combined ratio in 2019 was primarily due to no losses being suffered during 2019 when compared to the previous year. Now, turning to the balance sheet, total investments which include investments in fixed maturity and equity securities totaled $692,000 at December 31 2019, compared with $1.2 million on December 31 2018. Total shareholders equity at December 31 2019 was $8 million compared to $8.3 million at December 31 2018. At December 31 2019, our current book value per share stood at $1.40. At December 31 2019, cash and cash equivalents and restricted cash and cash equivalents totaled $8 million compared with $11.3 million at December 31 2018. Now with that, I'd like to turn the call back over to Jay. Jay?
Jay Madhu: Thank you, Wrendon. During the third quarter of 2019, we experienced a major storm Hurricane Dorian that wreck devastation in the Bahamas as a Category Five Hurricane before making landfall in the United States. Despite this event, having significant estimated insured losses as high as $8 billion, we have not been impacted by this event. Through our Reinsurance Sidecar, we have been able to add a degree of diversity to our revenue streams and risk, while still having the ability to achieve attractive returns. As mentioned before, while the contract year ends on May 31 2020, our Sidecar investors are in track to an attractive return of approximately 40%. We will look to grow that portion of our business again this upcoming season beginning June 1 of 2020. Going forward, we remain optimistic about the long-term prospects of not only our core business but also our Reinsurance Sidecar. We continue to evaluate additional opportunities for growth as well as diversification of risk. So, in closing, we continue to reduce our G&A costs, our Sidecar investors are on track to an attractive return of approximately 40%, our book value for shares of $1.40 mostly in cash. We are debt free, we have a strong cash position, and most importantly, we have opportunity and a viable business model. With that, we're ready to open the call for questions. Operator, please provide the appropriate instructions.
Operator: Thank you, sir. The floor is now open for questions. [Operator Instructions] And our first question comes from Kent Engelke with Capitol Securities. Please go ahead.
Kent Engelke: Thank you. Hey Jay, Wrendon, enjoyable times we're in, that's for sure. On that, so what is the impact of the implosion of the pandemic bond market as well as just the pricing on reinsurance contracts, you're seeing all these incredible events increasing the yield because of lack of competition for reinsurance contracts?
Wrendon Timothy: Yes, we're hearing some, and -- we're definitely hearing, but there's a slight increase from last year, and everything that's going on in the capital markets doesn't help that. On the other side, it's good for us in terms of pricing. However, it's -- that's to be seen, but our preliminary indications are contracts that were affected, those have gone up. Some have gone up regardless, but it's a little early for the layers that we participate in to actually come up with an accurate number at this point, but yes, these are definitely interesting times.
Kent Engelke: It is. Yes, it is. One of the things about Oxbridge of course in some regards, you're insensitive to economic behavior just sensitive to [acts of God] [Ph]. Any comments about -- anything about the odds with the upcoming hurricane season and years past, [indiscernible] have talked about length of that, can you add any color on that just statistically and readily acknowledging that this is just statistics?
Jay Madhu: Yes. Statistically, when we take a look at the hurricane history since 1951, 1952 to now, we see that we don't have hurricanes every single year, year in and year out. If you just take a very short-term look or a short-term view over the last 14 years, two out of the last 14 years, the hurricanes have wrecked havoc. So, (A) it needs to be a hurricane that's not only in our quadrant, but it needs to make landfall. (B) When that hurricane makes landfall, it needs to be in a category three or above to do the devastation, and to rip roofs and shingles, and so on and so forth. Unless you have a really big hurricane, if these hurricanes don't impact layers, they don't go through people's reinsurance covers and so on. So, in the last 14 years, only two out of the last 14 years, we've seen major devastation in the market. So, hopefully, this year will be one of those years where we escape again, but we don't rely just on the fact that it's a flip of a coin type of thing, we take a look at statistical data, we take a look at the contracts, we'll make sure that the risk is appropriately priced. In the past, we have stepped off of contracts or stepped away from contracts, because we didn't feel the pricing was right or the timing was right. This past year, we took a very conservative approach on going into the market, and we deployed very little capital this year. We worked on growing our Sidecar business, and as we go forward, we'll take a look at pricing and we'll take a look at the market, we'll take a look at the Sidecar business and deploy appropriately.
Kent Engelke: Appreciate it. Thanks.
Jay Madhu: Thank you, Kent.
Operator: And our next question comes from Harry [indiscernible] Value Partner. Please proceed.
Unidentified Analyst: Hi, Jay, thanks for taking your time to have this call today.
Jay Madhu: Thank you, Harry.
Unidentified Analyst: Yes. So, based on your 10-K, we're sitting mostly in cash as you addressed here, and clearly you're getting favorable premiums based on my math for the risks that you're all insuring. I do have a concern with that, and per the 10-K, we're at about a little over $8 million in cash and restricted cash, is that correct?
Jay Madhu: Yes.
Unidentified Analyst: As you said, we have virtually no debt. What is our plan to deploy that cash to enhance shareholder value?
Jay Madhu: Yes, as we go forward, we do have some cash. We do have some cash, and a few securities and things like that, and depending on the market, depending on situation, and we'll make a decision whether to put that money to use or not. I can't comment for this for this quarter, but everything over here is based off of last quarter.
Unidentified Analyst: Sure.
Jay Madhu: But I think in times like this, it's very valuable to note that we're debt-free, and we have cash.
Unidentified Analyst: Yes, I've always been a fan of Oxbridge's cash position, being cash-rich, especially in times like this, we have these credit crunches. I mean I'm sure you're aware on the importance of cash position. My one gripe or just a little concern is that we're trading at $0.76 a share right now against almost double that in cash, net of all liabilities. So, to me, right, especially given that we don't have very steep net losses and are quite close to breaking even. That tells me the stock is severely undervalued. Have you, or the management team ever considered undergoing a buyback program at such depressed levels?
Jay Madhu: Yes. No, at this point, now I'll give you the canned answer, right, this is something, and the canned answer is it will be depending on the Board of Director's meeting and what the Board decides, but…
Unidentified Analyst: Sure.
Jay Madhu: -- just depending on situation, depending on what is decided and matters at hand, I think, as you mentioned, cash is king at this point, and we see some gyrations in the stock itself, the stock has bounced off and come down and so on and so forth. but [indiscernible] where it's trading is at a significant discount to book, books of $1.40, which is predominantly in cash and cash equivalents. So we're trading at a huge discount, so…
Unidentified Analyst: Would you like to tell the Board that I personally really enjoy buying dollar bill at $0.50 a piece?
Jay Madhu: Yes. I get that. Yes, but at this point, we'll consider all options and thoughts and so forth, but there is a possibility that there may be better things to put our monies to work, but at some point, you are right, it may come down to the possibility of a share buyback, but that will be decided in future thoughts. Yes, where we find some significant opportunity is in our Sidecar that we are developing, and Sidecar is pretty much open to anybody, who is an accredited investor, and is not adverse to risk. So, being that our company is an offshore entity, there may be some tax benefits for somebody looking at that, because it's on a multi-year contract with a one year out, but there is a possibility for folks to take a look at that, and earn –some very attractive returns, and that money is put alongside our company money and put to work in reinsurance contracts, and all at the same time, none of that money is exposed to the capital markets, we don't try to reduce return, we don't go in and buy stock in equities and so on and so forth. So that is the one part of our business that we're very excited on, and that we look to grow.
Unidentified Analyst: And what kind of cash is that going to require to grow from the standpoint of the comments talk about Oxbridge?
Jay Madhu: Initially that money -- initially that raise is going to be a very small raise, especially what's going on in the market at this point, but that remains to be seen, but we believe, going forward and in the future, because that money comes in, we are basically acting as a money manager in reinsurance contracts. We have a very small number as management fees that we take, and there is no other expenses that come out of that, and we turn around and take a percentage of the profit. So, somebody, who doesn't want to go set up their own reinsurance company and doesn't want to spend the millions of bucks that's involved, and plus in order to get contracts, you really have to be in this insurance industry to begin with. So, barrier to entry is very high, but somebody is going to invest their cash alongside us, all at the same time get a significant return.
Unidentified Analyst: You know, there is risk.
Jay Madhu: But it's cohort.
Unidentified Analyst: Well, I'm definitely a fan of expanding the Sidecar business. That was among a few other things, one of the key things that drew me towards Oxbridge several months ago. I do have one last question for you, and that is -- congratulations first on continuing to decrease your general and admin costs, but we are still running about as much in that area as we are taking in, in premiums. Fortunately, it's not that breakeven level, but would you be able to offer any guidance on when you expect to return to profitability?
Jay Madhu: Yes, we're working diligently towards that. We're a big fan of not trying to act rashly, or after all, we're in the insurance/reinsurance business, right. So, we kind of try to manage that risk. Coming out of two seasons of tumultuous times is not the best of times to take rash and make rash decisions and take out too much risk. So, to answer your question, we evaluate contracts, at the same time we take a look and see how the contracts are priced, and if the risk is adequately priced, we take it, but going forward, we believe not only our core business of taking on risk, but also a Sidecar business will augment us towards getting back to where shareholders would appreciate where we are.
Unidentified Analyst: Right, my concern is a little bit more on the expensive side rather than the top line there, because I've always seen you've done a great job managing the top line and the expenses, those are falling, right, as a shareholder, I'd really like to see those fall far below the premiums are.
Jay Madhu: But our expenses -- there is not much more we can cut in terms of expenses, but…
Unidentified Analyst: Right.
Jay Madhu: Point noted, and we'll continue to evaluate that.
Unidentified Analyst: All right, I appreciate that, and again, no timeline for expecting a return to profitability there?
Jay Madhu: No. As I mentioned, it all depends on what the situation at hand is.
Unidentified Analyst: All right…
Jay Madhu: And don't get me wrong, we are all working towards that same goal.
Unidentified Analyst: Of course. Just don't have necessarily the exact timeline given the state of the markets and catastrophic events, I understand.
Jay Madhu: Yes.
Unidentified Analyst: All right. Thank you, Jay. That's all I have.
Jay Madhu:
.:
Operator: And that does conclude our question-and-answer session for today. I'd now like to turn the call back over to Mr. Madhu for his closing remarks.
Jay Madhu: Thank you for joining us on today's call. I especially want to thank our employees, business partners, and investors for their continued support. We look forward to updating you on our next call. If you have any further questions, please give us a call anytime. Thank you for your time, and stay safe.
Operator: And that does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time and have a great day.